Operator: Good morning and welcome to Dril-Quip’s Fourth Quarter and Full Year 2023 Earnings Call. [Operator Instructions] As a reminder, this call is being recorded. At this time, I would like to turn the call over to Erin Fazio, Corporate Finance Director for Dril-Quip. Please go ahead.
Erin Fazio: Thank you, and good morning. We appreciate you joining us on today’s call. An updated investor presentation has been posted under the Investors tab on the company’s website along with the earnings press release. This call is being recorded and a replay will be made available on the company’s website following the call. Before we begin, I would like to remind you that Dril-Quip’s comments may include forward-looking statements and discuss non-GAAP financial measures. It should be noted that a variety of factors could cause Dril-Quip’s actual results to differ materially from the anticipated results or expectations expressed in these forward-looking statements. Please refer to the fourth quarter 2023 financial and operational results announcement we released yesterday for a full disclosure on forward-looking statements and reconciliations of non-GAAP measures. Speaking on the call today from Dril-Quip, we have Jeff Bird, President and Chief Executive Officer; and Kyle McClure, Vice President and Chief Financial Officer. I would now like to turn the call over to Jeff Bird.
Jeff Bird: Thank you, Erin and thank you all for joining us today. Dril-Quip delivered strong fourth quarter results, marking a pivotal year with double-digit growth in both annual revenue and adjusted EBITDA, showcasing significant progress towards our longer-term financial, operational and strategic objectives. Total revenue grew 17% year-over-year and our fourth quarter organic revenue was the highest quarter achieved since pre-pandemic. Net bookings in the quarter were $123 million, an increase of $76 million sequentially and above our expectations for the quarter. There were several notable orders in the quarter. The largest was for subsea production systems or trees for approximately $40 million. Orders for trees, as we’ve mentioned, tend to be very large, discrete events that can shift materially from period to period depending on the customers’ schedules. This project includes three trees plus various accessories, which will be delivered over the next 2 years in Australia. We also saw incremental call-offs from Petrobras in the quarter and some large diverter orders. Total bookings for subsea products in the period were $97 million. There were also multiple significant contract wins in the quarter, not reflected in our bookings. We were awarded a 3-year $20 million deepwater subsea wellhead MSA by CNOOC. We won a multi-well, multiyear contract to supply subsea wellhead systems in Mexico. We were awarded a second project on the North Slope of Alaska for 20 liner hanger systems through 2025. Additionally, we are off to a strong start to 2024 as we were directly awarded the contract for all of BP’s subsea wellheads for another 5 years and the Tullow subsea wellhead MSA has been extended for 3 more years. Throughout 2023, we consistently communicated that bookings may not be the most accurate metric to evaluate the current state of Dril-Quip, particularly following the recent acquisition of Great North. The majority of our revenue is short lead time delivery and operates on a book and ship model. This quarter will be the final disclosure of well construction and subsea service bookings in our results. Moving forward, we will continue to report subsea product bookings and add regular disclosures regarding master service agreements to reflect the evolving procurement strategies of the energy industry. We will review the new metrics in our first quarter 2024 earnings conference call. Reflecting on the accomplishments of 2023, our strategic efforts to reorganize the business into product lines, optimize our footprint, invest in wellhead manufacturing capabilities, and grow inorganically have been systematically executed, thanks to the hard work and commitment of our employees. In the fourth quarter, we successfully completed the sale of our Houston administration building marking the end of this phase of the footprint optimization initiative. The cash proceeds from this endeavor approximately $23 million for the year, funded the investment in subsea wellhead manufacturing equipment announced in late 2022. Simultaneously, this effort has contributed to a significant reduction in operating expenses for our Houston campus. Our investment in upgrading our subsea wellhead manufacturing equipment remains on schedule and is expected to go live in the second quarter of 2024. As previously stated, this move is expected to significantly reduce lead times and lower cost for our subsea wellhead product line. In 2023, we took a significant stride in our strategic venture to broaden our well construction portfolio through the completion of our acquisition of Great North. This acquisition has swiftly proven to be financially accretive and our progress on recognizing the announced synergies of bringing their wellhead through our international footprint and leveraging their best cost supply chain has seen early wins. Almost immediately, we received inbound customer calls asking for cross-selling context, and we’ve already had orders placed in regions such as the Middle East and Latin America. On the supply chain side, we have notably completed multiple supplier qualifications for our liner hanger product line, and the first purchase orders were placed in December. While it will take several months for older inventory to work its way through the system, we are excited about these early wins towards tangible margin improvements. The macroeconomic outlook for 2024 and beyond continues to be constructive for all our segments. Offshore project FIDs are projected to increase substantially from 2023 levels for the next 2 years according to Rystad. Beyond that, the disciplined operators have enabled in their procurement methods in recent history have made the breakevens for those projects even more flexible, ensuring the continuity and strength of this up cycle for many more years. While this fall, we saw some projects push out due to rig capacity constraints, we are confident that we will begin to see contract awards accelerate in 2024 and beyond as this is resolved. In the Canadian onshore market, we anticipate growth to come from three areas: first, increasing production from operators driving increased rental revenues from our multi-well frac connector as they support the increased offtake capacity from the new Trans Mountain pipeline coming online; second, increasing market share, particularly in the Grand Prairie region of Canada, we are currently increasing our facility size to support anticipated growth and committed projects. And finally, we expect early green shoot international growth leveraging Dril-Quip’s footprint in key areas such as the Middle East, Latin America and the U.S. We continue to strategically invest in key growth markets globally. In particular, in Saudi Arabia, we have established an in-kingdom operating team are investing in a new facility, preparing technologies for qualification and building out manufacturing capability. In Latin America, specifically Mexico, we are investing in a larger facility to accommodate accelerating demand for our liner hanger and onshore wellhead offerings. In West Africa, we are putting operating structures in place to support new contract awards in Ghana, Namibia and the Ivory Coast. Before turning the call over to Kyle for some color on our 2023 financial results and 2024 outlook, I would like to thank our exceptionally talented and committed team here at Dril-Quip. The success we achieved in the fourth quarter and throughout 2023 is a direct result of your hard work. Kyle?
Kyle McClure: Thank you, Jeff, and good morning, everyone. As Jeff highlighted, the company delivered strong fourth quarter and full year results, demonstrating continued progress on our business initiatives and reflecting the initial stages of a multiyear upcycle in the international and offshore market. Looking at our results, fourth quarter revenue was $126.3 million, an increase of 31% year-over-year and 8% sequentially, driven by activity increases in subsea services in Brazil, Europe and Australia, and the impact of the full quarter of Great North. For the full year 2023, revenue was $424.1 million, an increase of 17% year-over-year. Great North contributed $35.2 million for the year. Looking at the segment results. Subsea Products and Subsea service revenue increased 2% and 7% compared to the previous year, respectively. While we encounter challenges related to rig availability and FPSO delivery timing earlier in 2023, the fourth quarter showed increased activity resulting in a $76 million increase in bookings quarter-over-quarter. Included in that, as Jeff mentioned, is approximately $40 million related to the Subsea tree order that we will be recognizing in revenue over the next 2 years. The Well Construction segment revenue grew 70% year-over-year, reflecting the addition of Great North and activity increases in Latin America and Saudi Arabia. Embedded within the Well Construction segment is the legacy TIW business which is exiting 2023 with a $100 million annual run rate ahead of schedule. Gross margins were 27.4% during the fourth quarter and 27.3% for the full year. Full year gross margins improved 73 basis points largely due to our ongoing initiatives across the organization to drive operational efficiency, partly offset by some supply chain headwinds and international start-up costs in our legacy well construction product line. Selling, general and administrative expenses increased 8% compared to the full year 2022, which was driven by the addition of Great North expenses and severance. Engineering expense was $12.6 million for the full year 2023, increased approximately $1 million compared to 2022. The year-over-year increase is attributed to increased testing and qualifications relating to specific international customer requirements, primarily in Brazil and the Middle East. The rigorous testing that our teams have been able to perform this year have directly correlated to new contract wins, particularly around our ceiling technology for Petrobras. Profitability improved during the quarter with adjusted EBITDA coming in at $16.5 million, an increase of $4.2 million sequentially and $6.3 million from 1 year ago. For the full year, adjusted EBITDA was $46.5 million, an increase of 56% year-over-year. The increase in adjusted EBITDA year-over-year to be attributed to leverage on incremental revenues and the acquisition of Great North in the third quarter of 2023. Free cash flow was $14.5 million for the fourth quarter of 2023, an improvement of $37.3 million year-over-year. Cash provided by operations was $7.7 million and free cash flow was negative $24.9 million for the full year 2023. The cash provided by operations increased $44.5 million compared to the full year of 2022. The increase was driven by improvements in our profitability and cash conversion cycle and the receipt of the U.S. tax refund. CapEx in the fourth quarter of 2023 was $11.6 million and $32.6 million for the full year of 2023, a majority of which were related to investments in manufacturing equipments and rental tools down or already secured. Our balance sheet continues to be incredibly strong with an ending cash and cash equivalents of $217 million at year-end, allowing us flexibility to continue to invest in accretive organic and inorganic opportunities across the spectrum, while continuing to manage our longer cash conversion cycle of our subsea products business. Before concluding today’s conference call, I will review our high-level 2024 financial outlook. We expect revenue to increase 15% to 20% over 2023. Q1 revenue is expected to be in the range of $105 million to $110 million. We expect revenue to ramp up throughout the year as the strong Q4 subsea product bookings start to roll through and our well construction deepwater liner hanger business continues to gain traction in Brazil and beyond. Adjusted EBITDA for the full year of $65 million to $75 million, subsea product bookings of $200 million to $225 million, representing growth of 5% over 2023 subsea product bookings of $217 million. As a reminder, we will be discontinuing the inclusion of well construction bookings next year and only including orders for our Subsea Products segment. For additional context, as we shift disclosures, Q4 bookings will be the Subsea Products segment only were $97 million. Tree awards were approximately $43 million in 2023, which occurred all in the fourth quarter. We anticipate approximately $35 million in Tree awards for 2024. CapEx is expected to return to normalized levels of 3% to 5% of revenue in 2024 which will include the final expense related to our investment in our Houston manufacturing equipment of approximately $7 million. Free cash flow is expected to be positive in 2024. Q1 is seasonally challenged and expected to be a net use of cash. With that said, we would now like to open the line for any questions. Operator?
Operator: [Operator Instructions] We have a question from Eddie Kim with Barclays. Your line is live.
Eddie Kim: Hi. Good morning. Really strong bookings in the fourth quarter here. And just sorry if I missed it, but could you provide the subsea product bookings for full year 2022 and 2023? I just want to see how that compares to the ‘24 guide of $200 million to $225 million.
Jeff Bird: Yes. Hey, good morning. Good morning Eddie. This is Jeff. The number in 2022 and 2023 was about flat at, call it, $215 million, $217 million somewhere in that range in both 2022 and 2023. So, the 2024 number, if you think about that as a midpoint, would be flat with the high end being $225 million. I think the one notable thing about that is what’s not included in those bookings numbers, which are the MSAs that we are pretty consistently now signing. So, if you think about the BP MSA that I mentioned, that 5-year extension, those are about 20 to 25 well heads a year that don’t go into our bookings number until they are called off, and the value of that would be, call it, $15 million to $20 million annually when they start reordering well heads. Right now, they are really working through customer property. We expect them to start reordering late this year or early next year. So, that is the nuance. We just think this is probably a better way to be more clear with those following the stock that this is directly tied to subsea, the bookings right now.
Eddie Kim: Yes. Got it. Great. And then just a quick follow-up, the 24 wells that you just announced for the Woodside Trion development offshore Mexico, is that going to be included as part of subsea bookings in the first quarter, or was that booked in the fourth quarter?
Jeff Bird: That was an MSA in the fourth quarter and will be called off over the next year or 2 years probably. So, that’s the challenge. We signed an MSA, right. It’s a nice award. But in the past, that would have just hit a big splashy number in the fourth quarter, and now that’s just not the way that things are contracted.
Eddie Kim: Right. Okay. Understood.
Jeff Bird: At least for our products.
Eddie Kim: Yes. And then just my follow-up is on the margin guide for this year. In the slide deck last quarter, you said you are targeting kind of 15% to 18% EBITDA margins for 2024. But the midpoint of your guidance implies around 14% for this year. So, just wondering if you could help us understand the delta there. Are some cost savings going to be lower than anticipated this year, or is this a reflection of kind of recent bookings coming in at maybe lower pricing than you anticipated? Just any color there would be great.
Kyle McClure: Yes, Eddie, it’s Kyle. I would tell you that the difference between those two numbers is probably just timing on productivity initiatives inside the company right now, things probably moved out a quarter or so on some productivity concepts that we are moving forward on.
Eddie Kim: Okay. More timing related. Okay. Understood. That was all I had. Thank you for the color and I will turn it back.
Jeff Bird: Thanks Eddie.
Operator: Thank you. As we have no further questions in queue at this time, this will conclude today’s conference call. Thank you for participating and you may now disconnect.